Operator: Good day, ladies and gentlemen, and welcome to the Universal Forest Products Incorporated Third Quarter 2012 Earnings Conference Call. My name is Janaida and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. 
 I would now like to turn the conference over to Ms. Lynn Afendoulis, Director of Corporate Communications. Please proceed. 
Lynn Afendoulis: Thank you. Welcome to the Universal Forest Products Third Quarter 2012 Conference Call. Hosting the call today are CEO, Matt Missad and CFO Mike Cole. Matt and Mike will offer prepared remarks then we'll open up the call for questions. This conference call is available simultaneously and in its entirety to all interested investors and news media through a webcast on our website at www.ufpi.com. Replay will also be available at that website through November 16, 2012. Before I turn the call over to Matt Missad, let me remind you that today's press release and the presentations made by our executives include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. 
 These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to those factors identified in the press release and in our filings with the Securities and Exchange Commission.
 At this time, I would like to turn the call over to Matt Missad. 
Matthew Missad: Good morning. Thank you for taking the time to join us this morning. We appreciate your interest. Just to be clear, I will not be giving any kind of weather forecast or other predictions of future events for today's call. Instead, I'll just get right to our third quarter 2012 review. On the surface, I should be disappointed with our third quarter earnings and I am. Earnings are down $0.08 per share from the third quarter of 2011. 
 However, the real story is beneath the surface. We were hit with a one-time Canadian countervailing and anti-dumping duty for imported aluminum to the tune of $2 million. We are appealing this ruling which we believe is unjust on many levels but we have recorded the full charge in the third quarter to be conservative. In addition, we had 2 facilities which had an atrocious performance in the third quarter. 
 While we typically expect a few operations to struggle for a brief period, these facilities were exceptionally bad. The problems causing their poor performance have been corrected and all indications are that these facilities have returned to normal positive results. The difference between normal results and the actual results for these facilities in the third quarter was $2 million. 
 The total of these events impacted pretax earnings by $4 million for the quarter and turned an otherwise good quarter into a disappointing one. As always, I accept responsibility for our total results and we can and will do better. But as a shareholder, I'm also very encouraged by the successes we are experiencing in the vast majority of our facilities. The facilities and their dedicated employees have demonstrated great progress toward our growth and profitability goals. 
 In the quarter, sales increased nicely in 4 of our 5 markets and declined only slightly in the retail building materials market, which was consistent with our previously discussed strategy to not work for practice. 
 And we also benefited from a higher lumber market versus 2011 and were able to keep volumes consistent with the strong unit sales in the third quarter of 2011.
 As we look through my other key focal points, namely margins, inventory and receivables, we've seen mixed results for the quarter. Margins are down somewhat due primarily to higher lumber market, which Mike will address in a few minutes. 
 We still face excess capacity in most of our markets, which keeps pressure on margins. We need to continue to add more value as we develop new products in order to enhance our margins. 
 Inventories are higher also due to the higher lumber market. We have increased our focus on inventory to make sure we do not get out of balance with the market. Product mix and market position are critical given the higher material cost and the traditionally slower sales period in the fourth quarter. 
 Our accounts receivable are up as well due to higher selling prices. The percent current of our accounts has improved over the third quarter 2011 and we continue to keep an eye on construction growth and manufacturing output in the U.S. to give us indicators for the continued creditworthiness of our customers. 
 Most importantly, as a company, we continue to be very well served by our diversified balanced business model and we'll continue to develop in a balanced fashion in the future. Now as we look ahead at the remainder of the fourth quarter and through 2013, we see some positive signs in the housing market, tempered somewhat by uncertainty over taxes and regulatory policy, as well as the fiscal cliff. We remain very bullish about our team and our ability to execute our business. 
 Our goal is to outperform all of our competitors regardless of market conditions. Having been in our facilities on a regular basis, I can tell you that I am continually impressed with the hard work and ingenuity of our people. I'm gratified to have American manufacturing success, which allows us to offer our employees a chance to grow their personal and professional opportunities. We intend to continue to provide these growth opportunities through both organic growth and acquisitions. Our acquisition team has been working very diligently to identify targets and create mutually beneficial arrangements for the future and is yielding very good results.
 Our new product initiatives are gaining steam as well, and we anticipate limited market test of our Eovations products over the next 12 months. This revolutionary technology is our non-wood alternative, which has performed very well in preliminary testing. Since it has no wood flower, it doesn't absorb moisture, has excellent strength to weight ratio and can utilize recycled materials in the manufacturing process. 
 It has a number of applications in many of our markets, including residential construction, commercial construction and concrete forming, industrial and manufactured housing. 
 Now in addition to this new technology, we are also developing many product line extensions for our core products to provide more value to our customers and ultimately to the consumer. On the international front, we continue to see strategic partners and have utilized our existing relationships in foreign countries to help facilitate these conversations. And we are encouraged with the progress so far. 
 Now that concludes my overview. Now I'd like to turn it over to Mike Cole to review more on the financial results. 
Michael Cole: Thanks, Matt. Before I review the financials, I want to point out that the higher level of the lumber market had a significant impact on some of our key numbers this quarters as Matt mentioned. Lumber prices were up 25% on average, which impacted not only our sales levels, but our working capital, cash flow and margins. 
 Starting with our income statement for the quarter, our overall sales increased 13%, primarily due to lumber prices. While we had significant changes within each market, our overall unit sales were essentially flat. 
 By market, our sales to the retail market decreased 3%, due to a 10% decrease in units offset by a 7% increase in prices. 
 Within this market sales to our big-box customers decreased 16%, but this was offset by a 16% increase in sales to our other retail customers. 
 Earlier this year, we mentioned that we lost some lower margin business with one of our big-box customers and one of our objectives has been to replace that business with sales to other retailers. As you can see from the numbers, we've had some success accomplishing that goal. 
 Sales from the manufactured housing market increased 35%, due to a 14% increase in units and the 21% increase in prices. 
 Unit increase is primarily due to industry production of HUD-code homes which increased 11% year-over-year in July and August and the fact that we continue to increase share and add product lines in our distribution business. Sales for the residential construction market increased 34% due to an estimated 20% increase in units and 14% increase in prices year-over-year. 
 By comparison, housing starts to increased -- experience a year-over-year increase of 24% between the months of June and August. The segment is still challenged with excess capacity, so pricing and margins are still difficult. We must continue to be selective in the business that we take in order to maximize profitability. Selectively, our plants that primarily serve this market have been profitable for 5 straight quarters and reported a year-over-year increase in operating profit with approximately $1.4 million this quarter.
 Finally, our sales in the industrial market increased 20%, comprised of an 11% increase in pricing and a 9% increase in units. 
 For year and similar to past quarters, our plants are doing a great job of adding new customers and increasing sales with existing customers. One of the additional positives we see is that the increase in our industrial sales is spread out over several regions, which is a clear sign of uniform focus.
 Moving down the income statement. Our third quarter gross profit percentage as a percentage of sales decreased by 120 basis points, primarily due to the higher level of the lumber market. As you might recall, we generally price our products to earn a fixed profit per unit with commodities being a pass through. Therefore in periods of higher lumber prices, our gross profit percentage declines. Selling, general and administrative expenses increased by $400,000 or 9.9%. 
 They declined as a percentage of sales due to lumber prices. Dollar increase was primarily driven by a $500,000 increase in cost to prepare our Eovations production plant for operations; $500,000 increase in compensation-related expenses; and $400,000 in various selling costs. These increases were offset by a reduction in accrued bonus and other incentives to add profitability. Our operating profits were negatively impacted by a $2 million loss contingency related to an anti-dumping duty assessed by Canada. We've accrued for the entire amount of our exposure in this matter. Excluding the loss contingency, our operating profits exceeded the third quarter of 2011. Lastly, our effective tax rate increased to 37.9%, compared to 35.4% last year, primarily due to the expiration of the research and development tax credit. 
 Moving onto our cash flow statement. Our cash flow from operations was $4 million this year, compared with $2 million last year. Operating cash flow in 2012 is comprised of net earnings of $26 million, another $26 million in noncash expenses, offset by $7 million in gains in the sale of property plants and equipment and a $41 million increase in working capital since December. 
 Investment in working capital was solely due to the higher lumber prices. Our cash cycle has been steady at 46 days. Investing activities include capital expenditures of almost $22 million, which includes about $9 million of expansionary. 
 Finally, our working capital and investing activities were funded through our borrowings from our revolving credit facility. At the end of September, the facility still has a total remaining availability after letters of credit of almost $230 million. 
 With respect to our balance sheet, our total net debt was $53 million, compared to $34 million 1 year ago, again, due to the higher lumber prices on working capital. We actually have a bullet [ph] maturity due in December on $40 million of notes payable. We're currently finalizing a transaction to refinance these notes which will be announced in Q4. That's all I have on the financials, Matt. 
Matthew Missad: Thank you, Mike. Now I'd like to open it up for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Trey Grooms from Stephens. 
Trey Grooms: Could you guys give us a bit more color? I mean, I'm still kind of scratching my head here on what's going on with operating profit or even gross profit for that matter, given the increase you saw in sales. I know, Matt, you kind of outlined a couple of one-time costs, I guess, that were in the quarter. Can you give us a little more color on that? And also kind of -- as we're sitting here today looking forward, if lumber continues to move up, is this what we should continue to expect from a kind of margin standpoint? Or if you could just give us a little color on that? 
Michael Cole: Yes. Trey, I'll start in on the gross margin number. When you have -- like I mentioned on my comments, when you have much higher lumber prices like you have that are driving the increase in the sales dollars. When you're pricing on a fixed -- pretty much a fixed profit per unit type of formula, you're going to have a shrink in the margin. And that's really what's driving the gross margin decline. So another way to think about it is, unit sales were flat, gross profit dollars were primarily flat. Now that being said, as Matt alluded to in his comments, there's a couple of areas where we were a little disappointed in performance and that -- we could've shown an increase in gross profit dollars from what we're showing today but for that performance. 
Trey Grooms: And could you -- and that was -- what was the impact again? I heard a $2 million number then a $4 million, sorry if I missed it. 
Matthew Missad: No, no. The $2 million was the Canadian duty number and additional $2 million was operating, poor performance issues. 
Michael Cole: The underperformance is primarily sitting in the gross profit line, Trey. And the loss contingency for the Canadian duty is sitting right underneath SG&A. 
Trey Grooms: Okay. So still $64 million increase in sales year-over-year and if you add that $2 million in, then you're still less than $3 million increase in gross profit. Is there anything else like the business you're walking away from, is that impacting? Or is there anything else that's going on there? 
Matthew Missad: No. Trey, to me, it's the lumber prices. And that's why I pointed it out at the beginning of the call, when you have lumber prices that are that much higher, you're going to get that kind of an impact on the gross margin line. And moreover, when you ask earlier, what do we expect going forward, I mean, to the extent we continue to see that kind of a spread between lumber prices last year and this year, that's going to continue on into Q4 in your expectations. 
Trey Grooms: Okay. And then... 
Matthew Missad: It's not -- we don't view it as a profitability driver. Unit sales drive profitability unless there's some trending in lumber prices. Just the higher level of the lumber prices just makes it looks like large margins are strong. 
Trey Grooms: Got you, okay. And then, Matt, on the last call, you did give us a little bit about of an outlook. You said, this go around, you're not going to be giving us any forward-looking statements at all, I guess, on as far as your outlook. Is there reason behind that? Is it just the level of uncertainty as we sit here today? Or ... 
Matthew Missad: Yes, I think what I'm comfortable with, Trey, is I have a lot of confidence in our people and our ability to execute. It's the things that we don't have any control over that I don't want to try to predict what's going to happen. We'll execute and we'll beat our competition, and that's our goal so. 
Trey Grooms: Okay. And can you at least talk about kind of what you're seeing thus far in October? 
Matthew Missad: I think what we're seeing is kind of a mixed view. If you look around the country, there's certain pockets that are certainly stronger than others. And there's cautious optimism in the housing market. We see that in some markets, we don't see it in others. So to me, I think it's kind of a status quo situation, at least at this point. 
Trey Grooms: All right. And my last question, because you gave us a little bit more detail on the new products you're looking at, rolling out this new technology. Can you -- what's the timing on that roughly? And can you give us a little bit more color on kind of what the distribution channel will look like and that kind of thing? 
Matthew Missad: Yes, we're still in testing, Trey. And as I mentioned, it'll be in the next 12 months, we'll do limited market tests in several different product lines. So I would imagine by Q3 of 2013, Q4, we'll have a very good picture in terms of what the potential market looks like. And distribution channels and how we're going to take it to market. 
Operator: Your next question comes from the line of Steve Chercover of D.A. Davidson. 
Steven Chercover: Just a couple of quick questions. First, can you expand on the nature of the duties on the aluminum? I mean, is this for some kind of decking material and I guess the U.S. doesn't have a similar problem with the Chinese product? 
Matthew Missad: It's actually -- the U.S. does have a similar problem just in how they chose to enforce it and how they treat the product. It's primarily decking products that we import. And basically, the issue was the Canadian situation without going into much detail is in how they apply the duty in a retroactive fashion and on a product that we don't believe the duty's applicable to. 
Steven Chercover: All right. So there is a chance it could be reversed but the $2 million is the entire potential liability as it stands right now? 
Matthew Missad: That's correct. 
Steven Chercover: Okay. And my other question, given that you ceded low-margin business to big boxes, shouldn't we see your margins go up or will we see them go up going forward, given that you've kind of gotten rid of this business that you don't do for practice? 
Matthew Missad: I think, Steve, that's a very logical question and I would tend to agree with you. I think there's a couple other things that are still sitting out there. We have gotten rid of a lot of low-margin business and overall, we've improved in many areas. There still are capacity issues out there in a number of the markets, so we aren't seeing an immediate rise in overall margin and as Mike pointed out, the lumber market impact on gross margin percentage obviously brings that down. So gross margin dollars should be up and we look forward to continue to try to increase that going forward. 
Michael Cole: That is a really good question, Steve. I guess the way that I look at it too is, just to add to what Matt said, is we're  essentially flat in unit sales but if not for the issues Matt had mentioned on a couple of plants, our gross profit dollars would have been up $2 million, which is pretty good. 
Steven Chercover: Yes. Last quick question. I mean, I know you're not going to give us segmented earnings but could you tell us ranked in order, perhaps, the relative profitability, which is the most lucrative business? 
Matthew Missad: How many competitors do we have on our call today? 
Michael Cole: I'm sorry we lost the connection a little bit. 
Steven Chercover: No, well, maybe we can take that offline. Maybe there is no answer that you're willing to share. But I just -- if one -- are any of these businesses vastly more profitable than the others or they're all kind of the same? 
Matthew Missad: Obviously, the answer to that, Steve, is yes. But for obvious reasons, we don't want to get into providing that information. 
Operator: Your next question comes from the line of Robert Kelly with Sidoti. 
Robert  Kelly: A question on gross margin. If we look at it on a sequential basis because the level of the lumber market was pretty similar in 3Q compared to 2Q, your revenues were down $60 million or so from 2Q, but gross profit is down $16 million. I mean, how we kind of reconcile the dollar and the gross dollar and the gross profit kind of discussion you had earlier on the year-over-year as far as it relates to the quarter-on-quarter? Are your units down 16% sequentially? And I'm just trying to figure out how it all ends up? 
Michael Cole: A sequential decline from Q2 to Q3, all other things kind of being equal. Bob, is that I totally expect that. It's -- a lot of that is operating leverage. And so that would not be unexpected at all. 
Robert  Kelly: Okay. So I mean, is it utilization goes lower in 3Q? I guess... 
Michael Cole: Likewise -- and likewise, we probably talked about this in prior calls is, you'd expect the same sort of effect from Q3 and Q4. When our sales drop like that there's so much operating leverage in the business that you're going to get some margin pressure. 
Robert  Kelly: Right. Has price competition intensified in 3Q? 
Matthew Missad: No, I don't think it has significantly. I think Mike's right on the operating leverage. There's another dynamic that probably comes into play here and that's the timing of the lumber market rise and fall. And I think what you have is you have some opportunities, at least in the second quarter in this year but based on the way the lumber market grows to enhanced your margin on the buy side. Those opportunities were not as clearly presented in the third quarter, based on the level of the lumber market. So I think that's probably the missing piece, Bob, as you'd look at it is that, that market position we were able to take in the second period. 
Robert  Kelly: Okay. So I mean it looks like you had an intra-quarter run on 3Q lumber. It kind of settled down for the past – or the final 4 to 6 weeks. I mean, is that playing into gross margin compression? 
Matthew Missad: Yes. 
Robert  Kelly: Okay. As far as 2013 sets up, you go to your fixed cost product customers with pricing soon, is that right? 
Matthew Missad: That's correct. 
Robert  Kelly: Is there any opportunity to build in some wiggle room with the lumber level, in the level of lumber market being a little bit a higher in 3Q '12? 
Matthew Missad: Certainly, in some markets but I'd say by and large, there's still that capacity issue and the competitive nature of the marketplace that's not allowing for much in the way of margin enhancement. Now we expect that there may be shortages if the economy turns around and moves forward and that will impact our ability in a positive way. But for right now, I wouldn't want to rely on us being able to have any significant margin enhancement. 
Robert  Kelly: And then just one follow-on, in retail building materials, you start to lap the low-margin business that you divested or walked away from in 4Q '12, is that correct? 
Matthew Missad: Correct. Or actually that'll take place in 2013. 
Robert  Kelly: Okay. I mean, all else held equal, if you continue to have success in the retail building material, the wholesale distributors and hold share in the big-box channels, would retail building materials grow trend for '13? 
Matthew Missad: Yes, we would hope so. 
Operator: And at this time, we have no further questions. I would now like to turn the call back over to Mr. Matt Missad for any closing remarks. 
Matthew Missad: Well, again, I'd like to thank all of you for your interest in UFP and for joining us on the call here this morning. While we can't guarantee anything, we do promise to keep forward and to provide the best return for your investment in us. Also I'd like to wish the Tigers good luck and hopefully they'll make it to the World Series. Have a good day. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.